Operator: Good afternoon, ladies and gentlemen, and welcome to Linamar Fourth Quarter 2024 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference call over to Linamar's Executive Chair, Linda Hasenfratz. Please go ahead.
Linda Hasenfratz: Thanks so much. Good afternoon, everyone, and welcome to our fourth quarter and year-end conference call. Before I begin, I'll draw your attention to the disclaimer that is currently being broadcast. Joining me this afternoon, as usual, are members of our executive team, Jim Jarrell, our CEO; Dale Schneider, our CFO, both of whom will be addressing the call formally. And also available for questions are Mark Stoddart, Kevin Hallahan as well as some members of our corporate IR, marketing, finance and legal team. Okay. Let's get started with some highlights of the quarter and Linamar's strategy. So first, a quick reminder of the key value drivers that make Linamar such a great investment and how we've realized on that in 2024. First, Linamar has a long track record of consistent, sustainable results driving out of our diverse businesses. 2024 marks the 10th time in the last 15 years that we have grown our bottom line in double digits. And that, I think, is consistent, sustainable results. Second key point is around flexibility to mitigate risk. This couldn't be more important at this juncture. Our equipment is programmable flexible equipment. It can be used on a large variety of types of products. In fact, 84% of our equipment is flexible and can be easily programmed for further jobs. We have further -- purposely chosen to focus on products in our Mobility business regardless of what type of propulsion vehicle it might be used on that utilize similar processing and therefore, the same equipment. This flexibility has really paid off in the last 12 months of dynamic markets shifting around in terms of type of propulsion. Third, we've always run a prudent conservative balance sheet. We target keeping net debt to EBITDA under 1.5 and 2024, closed at a very healthy 0.79 net debt to normalized EBITDA, which is an excellent position to be in, in this time frame of significant distress in the automotive market, in particular. We will be the winner of takeover work in this environment because we are strong and healthy financially, and that is what our customers are looking for. And finally, we're focused on growth to drive our EPS and share price, of course, but also returning cash to shareholders through both our dividend program as well as our common share repurchases, which we have proven with our very active NCIB program where we have already purchased 1.4 million shares back. Okay. Turning to highlights for the quarter. I would identify these as our most relevant accomplishments. First, we had a really excellent quarter in terms of free cash flow, capping off the year, delivering nearly $800 million in free cash flow, which is outstanding. Second, we delivered another year of double-digit earnings growth as well as margin expansion in a down market for all three of our businesses, which is excellent. Third, we had a fantastic quarter in new business wins for our Mobility business that really rocketed our launch book back up to nearly $3.5 billion. This includes $150 million in takeover work win last year, which actually now is hitting $180 million and, we think, will only continue to grow. And finally, as noted, we supported a weaker share price in this challenging environment with our buybacks. Now turning to the numbers. We saw sales hit $2.4 billion, down slightly over last year on markets down significantly more. Sales were up 5% in our Industrial business, largely with our Bourgault acquisition as well as market share growth in key markets while offsetting significant market declines in both the ag and access markets. Sales were down 6% to prior year in the Mobility segment on markets significantly down in both Europe and North America. North America was down 3.6%, Europe down 7%, both important markets for us. Normalized net earnings were $111.8 million or 4.7% of sales, a little down from last year on those softer sales. EPS, therefore, $1.82, down 8% over a year ago. I will summarize our overall bottom line results this quarter as being most impacted by several things. First, of course, the 2023 and 2024 acquisitions, cost improvements in a whole variety of areas, launching business in the Mobility segment, a steady sales and earnings performance at MacDon in a very tough market, offset by those steep declines in market mobility in Europe and North America and the global access market. Free cash flow, as noted, very strong. It was $491 million for the quarter, an excellent increase over levels seen over the last couple of years. And we are actively reallocating capital from programs with less volume or restricted launches and trimming our capital bill as a result. You're really seeing the results of that in cash flow. Now I'd be remiss not to acknowledge the significant impairment we took in the quarter, almost all related to a write-down of goodwill in Europe. In the fourth quarter of each year, we are required to perform an annual impairment test of our goodwill. The overall market deterioration in Europe has unfortunately resulted in a discounted cash flow calculation that required us to write down the goodwill on some acquisitions made, in fact, many years ago. The impairment is noncash, of course, doesn't impact us in any way. Our focus really now is on our immediate action plans that help our European operations offset these market declines and find new opportunities to grow the business, and Jim’s going to outline that for you shortly. The good news is we have a strong team. We've got a strong balance sheet behind us that is going to enable us to do that. There's a lot of the distressed suppliers in Europe at the moment, in particular, and we are actively pursuing and winning takeover business from them to put into underutilized operations. As noted, our total takeover business wins now, $180 million. We're quoting another $150 million of opportunities at the moment as well. And I'm confident those opportunities will only grow as unfortunately, the situation in Europe takes a toll on some of our less financially stable competitors in the region. We also accounted in the quarter for a series of adjustments for various programs for the electrified vehicle market, certain other reduced volume or prematurely ending programs, which basically netted out to a small gain of $2.4 million. This was related to a variety of positive and negative impact from customer settlements, severance and asset write-downs. Our results for the full year 2024 were outstanding. We saw sales of $10.6 billion, up 8.7% over prior year, and outstanding double-digit growth of nearly 12% for both normalized net earnings and earnings per share, which reached $604.4 million and $9.81, respectively. Margins hit 5.7%, up from prior year. And as noted earlier, cash flow, nearly $800 million. The remarkable thing is these record results were achieved when markets in all three of our businesses were down and in some cases, down in double digits. Market share growth and a dedication to continuous improvement, productivity and cost reduction are the secrets to that result. Finally, the elephant in the room is the imposition this week of tariffs on Canada and Mexico and the potential for additional tariffs on metals next week and how that is impacting our business and our strategic thinking. So as all of you are I'm sure aware, on March 4, President Trump imposed 25% tariffs on all the products, the U.S. imports from Canada and Mexico, two of its largest trading partners and the ones the U.S. has, ironically, the most balanced trading relationships amongst their top 10 trading partners. It's notable that the U.S. trade deficit with China, with EU, with Vietnam, Taiwan, Japan and South Korea all exceed the trade deficit of Canada with the U.S., some vastly, some by a factor of 2x to 5x that deficit with Canada. Nevertheless, tariffs were imposed and potentially, released only today. In addition, we may see 25% tariff on steel and aluminum on March 12. It's unclear if that will include processed steel and aluminum and what level of value add. These tariffs would be additive to the tariffs imposed this week. We are proceeding on the assumption that our finished and semifinished metal-based products would not be subject to those duties. So more importantly, what's the impact? Let's start with our Mobility business. The automotive industry is highly integrated across our three countries of Canada, Mexico and the U.S. And our customers, the automakers, are the importers of record for substantially all of our parts, meaning our customers will have to pay the 25% tariff, not Linamar. The cost of these tariffs, notably if steel and aluminum tariffs are layered on top, would be enormous. The cost for our customers would be in the billions and is ultimately likely to shut the industry down, if not -- if the waiver doesn't come through and stay put in place. As of today, customers are continuing to pull product made in our Canadian and Mexican plant for existing production orders. So we are waiting to see what happens next. In our Industrial businesses, Skyjack, MacDon, Salford, Bourgault, we have been working for months to put inventory of product into the U.S. to allow us to sell customers -- to sell to customers in the region tariff-free for a period of time. So for the time being, production in all of our businesses is continuing for our 2025 plan. Of course, we have an immediate action plan underway to deal with this situation. We're communicating with customers, with employees, with shareholders -- we're scenario planning on cost implications for impacted purchase products and identifying alternatives where possible. We're also identifying new products and markets to pivot to in order to continue to grow and to sell. We're developing tactical strategies to mitigate risks, such as, as noted, relocating some of that Industrial segment inventory to the U.S. so that we could continue to deliver for a period of time. We're also staying focused on long-term fundamentals when making important strategic decisions and trying to look past the noise to focus on that long term. Equally important, I think, is what we're not doing. We are not contemplating closing facilities in tariff-affected countries and shifting production to the U.S. Tariffs, as we have seen played out literally in the last 24 hours, can be implemented one day and removed the next day. They are a short-term tactic. We make important decisions such as where to manufacture based on long-term fundamentals, like availability of talent and bench strength and supply chain availability and costs in a region, not something as short term as a tariff. We continue to remain committed to our Canadian footprint as our Canadian plants are our most productive globally, have our deepest bench of talent, enjoy strong cost and efficiency synergies and are highly competitive on a global scale. In fact, as recently announced, we're in the midst of spending $1 billion on our Canadian operations to launch work in these facilities and continue to quote a significant book of business for our plants in Canada. We are also investing and launching business in the U.S. We are also doing so in Mexico, in Europe and in Asia as we continue to focus on growing our global enterprise. With that, I'm going to turn it over to our CEO, Jim Jarrell, to review industry and operations updates in a little more detail. Over to you.
Jim Jarrell: Great. Thank you, Linda. As pointed out, we are currently operating with a very dynamic market backdrop. At Linamar, we remain laser-focused on the things we can control and are driving our core objectives as always to, as you see here, grow our revenue, grow our profit and grow our team. We know two things are true that from uncertainty can come great opportunity; and tough times don't last, but tough teams do. The other way we've been describing it today, this could be a business person's nightmare but an entrepreneur's dream. I think you know Linamar is a very entrepreneurial company that thrives in these times. So that, let's move forward to provide some more commentary to each of our key markets and how Linamar is performing within them. Starting with the access or AWP market. Globally, the overall industry was down nearly 12% for the year 2024. 2023 was a peak year for the global market with the year-over-year comparison of 2024 ending off essentially flat in North America and up slightly in Europe. Asia Pacific and the Rest of the World regions finished down nearly 30%, in line with where they consistently trended all throughout the year. Through this, Skyjack was able to fare better than the global market overall with share gains in both scissors, telehandlers and AWP overall for the year, which is fantastic to see. We maintain a healthy backlog in dollars and units with daily order intake averaging where we have been during the last couple of quarters. Our customer base continues to grow. And an interesting, fact in North America alone, we have just shy of 300 customers in quarter 4. Looking at Skyjack's international business operations, market development continues to be a theme and focus area. In China, we recently increased our development and testing resources to better allow us to offer tailored product offerings better suited to the local market. We have two new product launches planned for this region in 2025 alone. Across both Asia and Europe, we continued the rollout of our E-Drive scissors and electric booms to very positive market acceptance. Next, we'll turn to the agriculture industry volumes. Large ag, represented by combined and high-horsepower tractor retail deliveries in our core market of North America as well as Europe, finished the year down approximately 15%, in line with our previous expectations. On a global basis, full year 2024 industry volumes were down 17% to the 2023 market cycle peak. Again, our three core brands of MacDon, Salford and Bourgault stayed ahead of the market, ending the year ahead by 1%. Again, those are some great results when the global market was down 17%. Across the board, whether it's draper headers or windrowers, tillage equipment or air seeders, we've seen a steady trend upwards in the market share across all key product lines. For 2025 calendar, we are now adding industry guidance to our outlook. The North American market is expected to see another double-digit decline year-over-year, while other regional markets are expected to remain mostly flat. The continued North American industry decline in large ag is typical for a multiyear cycle while inventories clear through the channels and commodity prices stabilize. The good news is that 2025 is being viewed as the trough of this cycle with the growth returning next year. Sentiment has improved, input costs and interest rates have stabilized. We'll continue to keep an eye on how these latest tariffs Linda talked about impact the demand on both sides of the border. How Linamar's group of ag equipment companies can stand out in a difficult market is through its technology and innovation advantage. The brands of both MacDon and Salford recently were recognized with a combined total of five 2025 AE50 outstanding innovation awards. MacDon was awarded honors for its FD261 FlexDraper header, its FC FlexCorn Header and the R1 Front Disc Header. Salford won for AB640 Air Boom and its Row Crop Precision Cultivator, shortline OEM technology that delivers productivity advantage wins in the ag market all the time. It's a key strategic focus across all of our brands, and we remain deeply committed to it. For our core Mobility segment, the industry finished mostly flat when compared to 2023. Global light vehicle production was down 1.1% in North America, more pronounced in Europe at nearly 4% while largely flat in the rest of the world. Currently, industry experts' forecast for calendar year 2025 is a decline of 2.2% in North America, a further 3% decline in Europe and Asia and the rest of the world remaining mostly flat. For Linamar in the year as a whole in 2024, our content per vehicle on a global basis reached $84.11, up overall nearly 12% in an essentially flat market. Again, similarly to the commentary from Q3, the growth in global market share compared to 2023 is driving mainly out of North America, where we saw higher volumes from launching programs as well as incremental sales from the 2023 Linamar Structures Group acquisition. We spoke in the past on EV transition and underperforming programs as EV adoption rates are not where the industry expected them to be at this point. To highlight this fact, we saw a change in global EV volumes in 2024, predicted to reach over 15 million light vehicles this year, but actuals ended up 13.2 million, 2 million less than expected. The projection for the year 2031 from that same forecast compared to the current day projections sees penetration at 10.3 million left than originally predicted. This means EV launch programs are seeing either delays, a slow ramp or outright cancellation. The industry faces this EV challenge as well as several economic verticals, particularly in Europe where they've seen decreased OEM volumes, distress in the supply base and a need for more permanent restructuring. Linda highlighted some impairments we had in the quarter related to both these topics. Certainly from our side, we have a heightened focus on our operations in Europe. We have fast-tracked our cost-cutting, lean and commercial playbook to align with the latest realities in the market. The uncertainty highlights how our ability to remain flexible and pivot can be an advantage in an unstable market. We can adapt better than the others while our OEM customers chart what they now call a multi-energy or dual-track propulsion strategy. For Linamar, we can turn these macro headwinds into opportunities. The most obviously is that ICE programs are extending out and will run over a much longer time horizon. We also see opportunity to pick up takeover work from distressed suppliers. This is essentially the case in Europe. Between '24 and the first two months of 2025, we've already booked nearly 180 million of business and believe that there's a huge amount of potential there as well. Flexibility, strong financial balance sheet and our track record of execution positions us very well to capitalize on these opportunities. Lastly, I'll point out to a fantastic mobility innovation from our driveline R&D team at McLaren Engineering. Our driveline disconnect technology is industry-leading and now will be included in a third North American OEM application. The design solution is able to disconnect from the drivetrains of the vehicle and optimize vehicle range by reducing parasitic losses when only 2-wheel drive mode needed. Our first disconnect technology is in production in North America, and we have the second OEM program launching within the next 12 months. With this third major new business win that we obtained in the fourth quarter, we add another $100 million to our launch backlog, a great example of how Linamar innovation can win in the market. With that, I'll turn it over to Dale.
Dale Schneider: Thank you, Jim, and good afternoon, everyone. Linda has already covered at a high level the excellent normalized financial performance in the quarter. So I'll jump directly into the business segment review, starting with the Industrial segment. Industrial sales increased by 4.9% or $29.7 million to $637.1 million in Q4. The sales increase for the quarter was due to the additional sales from Bourgault acquisition and market share growth in drapers, seeding and tillage products, which offsets the agriculture market decline and the lower demand for access equipment. Normalized industrial operating earnings in the fourth quarter decreased by $9.1 million or 9.1% from last year to $91.4 million. The primary drivers impacting earnings were the lower market demand for access equipment partially offset by the increased contribution from the Bourgault acquisition. Turning to Mobility. Sales decreased by $107.9 million or 5.8% over Q4 last year to $1.7 billion. The sales decrease was driven by the significant market declines in Europe and North America, lower volumes in certain mature programs and nonrecurring cost recoveries from 2023. These were partially offset by additional sales from our '23 Linamar Structures acquisition, increasing volumes and launching programs and a favorable change in FX rates. Q4 normalized operating earnings for Mobility were down 1.9% over last year or $89.7 million. In the quarter, Mobility earnings were impacted by the lower volumes on mature and ending programs partially offset by cost reductions, operational efficiencies and increased contribution from our launching programs as well as the 2023 Structures acquisition. Despite market decline, Mobility margins expanded compared to the same period in 2023. Starting with our overall cash position, which came in at just over $1 billion on December 31, an increase of $401.3 billion -- million, sorry, compared to December 2023. The fourth quarter generated $497.6 million in cash from operating activities, which was used primarily to fund the Q4 CapEx and debt repayments. Turning to leverage. Net debt to EBITDA did increase from last year to 1.01x in the quarter, but down from the high of 1.24 after the acquisition of Bourgault. We were able to achieve our goal of hitting 1x ahead of schedule due to our strong free cash flow generation in Q4. If you normalize the EBITDA, the net debt-to-EBITDA further reduces the leverage from 1x to 0.79x. The amount of available credit on our credit facilities was $791.2 million at the end of the quarter. Our available liquidity at the end of Q4 remained strong and increased to $1.8 billion. As a result, we currently believe we have sufficient liquidity to satisfy our financial obligations during 2025. I thought it would be appropriate to give a quick update on the status of our NCIB program that was launched and announced in our Q3 earnings call. The 12-month program allows Linamar to purchase and cancel up to 4 million shares. We have been very active on the NCIB since we started purchasing. In Q4, we purchased 700,000 shares, and we have continued buying during the Q4 blackout period under an automated process. And as a result, in Q1 2025, we purchased approximately another 700,000 shares. Therefore, program to date, we have just -- we have purchased just over 1.4 million shares, and this equates to over $80 million being returned to the shareholders. This is aligned to our capital structure of optimizing our balance sheet, especially in these turbulent times, focusing on growing the business and returning any excess cash to the shareholders. I'll start off by stating the current outlook does not yet reflect the U.S. tariffs that went in effect yesterday. Linda has already discussed the tariffs, so I'll move on to our current outlook. Looking towards the next quarter, Industrial segments will feel both sales and OE decline when compared to Q1 2024. The sales are declining on down markets expected in both ag and access, which are more than offsetting the added sales from our extra month of our acquisition of Bourgault in Q1 of this year versus last year. OE is down as a result of the decremental impact on the change of sales in addition to product mix, which is currently predicted to be unfavorable in Q1. Mobility segment will also see a sales decline but will see modest growth in OE. The sales decline is being driven by the expected market declines in Europe and North America as both markets are expected to be down 2% to 3%. The OE will continue to improve on operational improvements and from added contribution from launching programs. As a result, the expectation on a consolidated basis for Q1 is to have a decline in sales while maintaining flat net earnings. Even with the reductions in the markets, free cash flow generation is expected to be strong in the first quarter. Turning to full year 2025. Industrial will see double-digit market declines in ag and high single-digit declines in North America for access equipment, which will result in an overall net decline in sales for the year. The sales decline and the expected product mix of these sales will result in a double-digit decline in OE over 2024. Despite the OE levels, margins will still be in our normal range for the segment of 14% to 18%. For Mobility, industry forecasters are predicting continued market softness in 2025. Notwithstanding the market softness, sales will remain at the 2024 levels and OE grow at a double-digit rate. We still see launching programs maintaining our Q3 outlook by adding between $500 million and $700 million in sales to help mitigate the market declines. As a result, we are expecting to see margin expansion, which will push the Mobility back into its normal range of 7% to 10%. Overall, for 2025, sales will be flat, EPS will grow. Free cash flow will remain strong, which will ensure that our balance sheet also remains strong. Thank you. And now I'd like to open up for questions.
Operator: [Operator Instructions] Your first question is from Tamy Chen from BMO Capital Markets. Your line is now open.
Tamy Chen: Hi. Good afternoon. Thanks for the questions. I think I will just largely focus on the tariff aspects. I've got a couple of specific questions. So yes, we've seen the most latest development is this one month reprieve for the Detroit Three. I'm curious what you believe these OEMs would do between now and until, I guess, a month from now. Do you believe they'll, for certain programs, try to shift that production to the U.S.? Do you think they'll discuss with the Trump administration multiyear investment plans in the U.S.? Like what do you think the OEMs are going to do between now and early April?
Linda Hasenfratz: Yes. I mean I think that the key thing to understand about the automotive industry and the parts that are being purchased within it is that most parts, certainly all of ours, are highly engineered products that require months of testing and validation before they can be assembled into a vehicle. So there's zero chance that in 30 days, customers are going to be able to shift production outside of Canada and Mexico for parts. I mean this is -- these programs typically take 12 to 18 months to invest in and tool up. So it's not in any way realistic to think that, that can happen in that time frame. Not to mention that the complexity and the degree of integration in the supply chain is so significant that the requirement for investment and testing and validation would be multi, multi-billions of dollars and months -- actually, years of time to do. So that's clearly not the goal. So I think that trying to help the administration to understand that level of integration and how efficient it has made the industry, I think, would be top of my list of trying to work over the next 30 days. I mean we've had free trade in the automotive industry between Canada and the U.S. since 1955. Like we have developed incredible efficiencies in terms of, we're going to make this. You're going to make that. We'll come together to maximize volumes, minimize costs, maximize technologies and innovation and really get the best of the supply base. So trying to dismantle that like in 30 days, sure, isn't going to happen. You can't even dismantle it over multiple years. So I would hope that the OEMs would instead try and paint a picture of where opportunities from enhancing collaboration within the continent could lie so that we can all grow jobs together and tackle a huge global market that is 80% of the world's vehicle production, only 20% of it is in North America. Let's get defocused on how do we rip that apart and let's focus a little more on the global market. So I'm hoping it will be spent trying to information gather, show the impact, illustrate the unreasonableness of trying to totally recreate a supply chain that is working really quite smoothly.
Jim Jarrell: Yes. Tamy, just in the Mobility, we've been in constant communication with our customers. As Linda stated, it's one of our issues we're doing. But nobody is talking about moving things at this point in time. I mean the first immediate thing that they're doing is understanding what this 30-day reprieve is defined as. So they're working that through right now. But I can tell you what they're doing is working with us, each supplier, understanding the implications of suppliers. And then they're lobbying. I mean they basically -- all the OEMs have a daily call now, and they have the information being gathered. And as Linda said, they go back and are lobbying and communicating to the government. And nobody is even looking at tactics in regards to transfer price issues and all that. Nobody is even going down that path. They're just, I think, collecting information and believing -- and strongly believe that the sentiment is that we should have this integrated setup with the current trade going on. So that's sort of like the latest and greatest from our customers directly.
Tamy Chen: Got it. That's helpful. And my other question is -- so on the Industrial side, and again, I'm kind of sticking with this whole tariff dynamic. I think you mentioned your U.S. plants have some inventory built up. I'm wondering if you could talk about how long this inventory could last for you? And with the 25% tariffs on that part of the business, I'm wondering if your products, whether it's on the Skyjack side or in ag -- like could it still be competitive -- because a lot of it came from your Canadian manufacturing facility, even with those tariffs? And like would you absorb the cost in order to still make the sales once your current inventory buildup runs out? Thank you.
Jim Jarrell: Yes. Okay. So we did -- as Linda stated, we transferred -- when this all came out last year, transferred quite a bit of inventories across border. Like we are six to nine, 10 weeks of coverage, right? So we've done a really good job covering that off. And of course, one of the key things we've been talking about is we cannot lose market share, I mean, because if you lose that, it's a real problem. So there is some tools that we can work with some of our customers on. Obviously, purchase cost, there is obviously some transfer analysis that we're doing, first sale tools and techniques that are out there as well. But again, we're hopeful that this will fall under a non-tariff issue. But again, we are contemplating that. But certainly, we are going to keep our sales going. We're producing at our 2025 plan rate. We continue to do that and continue to take in order intakes like we have for the last couple of quarters.
Linda Hasenfratz: And I would just add to that, that all of our industrial businesses also have strong markets in Canada, particularly the agricultural businesses, and growing markets internationally, including Europe, South America, Australia, where we've been really growing our market share and growing our production deliveries over the past several years. We, of course, are going to continue to produce and ship to those markets. And I would also lastly say that here within Canada, we're going to be pushing hard for increased market share for each of our industrial businesses and trying to lever off the Buy Canadian aspect. I mean I would highly encourage everyone on the call to encourage their own municipalities and provinces and for that matter, building owners to invest in Skyjack product for their aerial work platform requirements as opposed to the American competitors. And that way, we could increase our sales to Canada and offset any potential softness in the U.S.
Jim Jarrell: Yes. And sorry, Tamy, [technical difficulty] you saw on the slide I put up is the innovation point, right? So you -- we get these awards. And the reason we have these sales of these products is because they're more productive, they're more efficient. And farmers or contractors want to use them because they have value. So they're not going to want to walk away from our products as well. Of course, the cost is the cost, and we need to deal with it. But our products sell because it's valued.
Tamy Chen: I’ll leave it there. Thank you.
Operator: Thank you. Your next question is from Krista Friesen from CIBC. Your line is now open.
Krista Friesen: Hi. Thanks for taking my question. Just as you think about the capacity that you have in the U.S., would you have the ability to shift some of your production to your U.S. manufacturing facilities? Is that at all a possibility?
Linda Hasenfratz: That would be an enormous investment to do. And it just, as I suggested in my comments, is something that just does not make sense. I mean I literally had to change my conference call notes three times in the last 24 hours because of changes on tariffs. That is not a premise to build a manufacturing strategy around. I mean you're not going to spend billions of dollars and months and months to shift production around and chase a tariff that's here today, gone tomorrow, back the next day. You must focus on long term. You can't get sucked into the noise of what's going on and make key decisions like that.
Jim Jarrell: Yes. Krista, a good example is one camshaft, to run 2,000 a day, takes about 18 months to tool up in the U.S. and basically costs about $20 million to $25 million. So -- and we've got like hundreds of parts, and Magna's got hundreds of parts, and Martinrea has hundreds of parts. So it's just not -- it's not plausible to even consider that, right? I mean new work, I mean, down the road, yes, of course, you can do that in a launch. But anything to just try and do that, you're two, three years out, and it just isn't feasible.
Linda Hasenfratz: And I would just say as well that like even new work -- decisions on where a job is going to be launched is based on what plant has capacity, who's got open floor space, who's got capability and experience around a part. Those are the levers that you use. It's how we've done it historically, and it's how we'll continue to do it in the future. And just to be clear, we are investing heavily in our U.S. plants as well. I mean we've actually increased our U.S. footprint. If I look at our sales in the U.S. in our Mobility business, they've increased something like six times over the last 10 years. We've tripled our employee footprint in the region. We've got business launching in each of our facilities there as well. So like we are absolutely going to grow in the U.S., but we're going to continue to grow in Canada and keep our facilities full here as well.
Krista Friesen: I appreciate that example. And then maybe just on the European market, obviously, some weakness in Q4. It sounds like that's related to some EV platforms. As we think about 2025, should we think of kind of a similar spread there between Linamar's European auto sales and what the market is doing? Or are you able to make up some ground there?
Jim Jarrell: I think we're staying with the market. I think what we did in the last couple of quarters is really focus in on Europe to look at the operational side of the realities, right? I mean the market, I think it used to be like $22 million a year, and it's down to like $17 million, $18 million. Don't quote me on those numbers exactly. But that's -- those aren't coming back. So to really rightsize Europe is what our focus is on. And then also on the opportunistic side, those distressed opportunities, like, is abundant. I mean we have incoming daily request to take over work, to take over facilities to do this. Europe is in a real tough situation, but we're levering off that right now to grow.
Linda Hasenfratz: And I think that an important point as well that Jim and I both talked about is the distress in the supply base and the great opportunities for takeover work. And there's a lot of suppliers that are just not going to make it out there, given the situation in Europe. And given our strong financial position and technical capabilities, we can step in. And our customers are actively asking us to do so.
Krista Friesen: Thank you.
Operator: [Operator Instructions] Your next question is from Jonathan Goldman from Scotiabank. Your line is open.
Jonathan Goldman: Hi. Good evening. And thanks for taking my questions. I noticed you revised the Mobility outlook for 2025 with sales now expected to be flat versus modest growth previously. But you're still expecting a strong double-digit operating growth -- earnings growth. So how do I reconcile those two comments, given it looks like volumes in each region are going to be weaker than expected than last quarter? Or maybe asked a different way, given you're expecting flat sales growth, what are the main drivers of margin expansion?
Jim Jarrell: Well, I'd say we're getting launched business in place, operational focus on cost and cash, I think is also in the commercial negotiations that we've been ongoing doing, right? And so I think those three things add up to being able to provide a better margin with the same level of sales.
Linda Hasenfratz: Yes. I think that's absolutely the key is commercial agreements getting resolved, continued excellent cost improvements across the board and also the impact of some of those rightsizing initiatives that we did largely in Europe last year that are going to start to get the bottom line this year as well.
Jonathan Goldman: Okay. That makes sense. And on the commercial recoveries or discussions, like what sort of level of visibility do you have on that?
Jim Jarrell: We have very good visibility of all the things that we're working on with all the customers, right? And they're related to costs. They're related to volume issues, changes in that. I mean the appetite at the Mobility OEM level right now to entertain has changed probably dramatically in the last couple of years. But if you have a warranted and fact-based situation, they will sit down and you'll work through it. I mean quite frankly, as you get volumes back to normal, they're expecting productivity. And I think Linamar is -- one of our focuses on productivity is elimination of waste, and we do that very well. And in situations where the volumes are there, we can offer those productivities to customers.
Jonathan Goldman: Very interesting. And then maybe if I can squeeze one more in. The $60 million proceeds on disposal, is that just normal course? Or does that relate to something specific in the quarter? And are you considering any other source of divestitures, whether that's subsidiaries or real estate, in 2025?
Dale Schneider: Yes. It's related to our small gain that Linda talked about. So there's a number of factors that go into that from customer negotiations to inventory provisions to some fixed asset adjustments. And all of those are what net out to that $2.4 million gain that Linda was talking about earlier.
Jonathan Goldman: I'm sorry, like the $60 million proceeds, I think, on the cash flow statement on disposal?
Dale Schneider: Yes, that's related to the commercial settlements and unusual items we took in the quarter.
Linda Hasenfratz: Yes. So there was a whole series of positives and negatives that netted out to the $2.4 million. You've identified one of them.
Jonathan Goldman: Okay. Makes sense. Thanks for taking my questions.
Operator: Thank you. Your next question is from Michael Glen from Raymond James. Your line is open.
Michael Glen: Hi. Just to start on the takeover work that you're pursuing. So you're referencing distressed suppliers. Are you taking advantage of the situation at all to embed some better margins? Or has this largely been in line with your historical hurdle rates?
Jim Jarrell: I mean, obviously, we would want to get as much margin as we can. But again, if you're taking over something and you're working with your customers to do that, I mean, you have to be fair and you have to be market-driven. So of course, we would push for as high margin as we can get. But certainly, to assist a customer would be the first and foremost, and then you work the job and make it productive. So I would say really, we would try and be in our normal range of mobility earnings in that scenario.
Michael Glen: Okay. It just feels like you're a strong supplier with a strong balance sheet. Your customers need you. It's just surprising that you're not able to -- and this is coming from a distressed supplier. It's just surprising to hear that you're not able to extract something better to make sure that you're healthy with that piece of business.
Jim Jarrell: Yes. I mean you got to keep in mind where the distressed supplier situation is. So they're getting $0.50 where they probably should get $1. And so if we go in at $1, I mean, the customer is still paying $0.50 more. So -- and if we could get a good margin off that -- I mean, that's what we're trying to do.
Linda Hasenfratz: Yes. So I mean, clearly, we're not taking the work over at existing prices. I mean we're quoting it at what it should be sold for. And oftentimes, these distressed suppliers have taken on pricing that is not realistic to the program.
Jim Jarrell: Also in the past, right, these companies are -- a lot are PE-driven. So they get this business and then they will go and build the book of business into their revenue base out of the gate. And then they want to spin it off down the road. So everybody is getting flat-footed with volumes and debt levels and things like that. So as Linda stated, and my example, the $0.50 is way underwater already for the customers that are now going to pay $1, which is the market price for that job. So we're pricing to market and to what we can get.
Mark Stoddart: And Michael, keep in mind, too, that some of our -- these customers have the capability and equipment, manpower to bring this product in-house. So it ends up being a make versus buy. So obviously, there's not an opportunity for us to go in there in-house.
Michael Glen: Okay. And just on the Industrial business, can you just -- it's not perfectly clear to me how the steel and aluminum tariffs are going to impact that business. Can you just run through how we should think about that impacting in -- if they go into place?
Linda Hasenfratz: Yes. I mean for our Industrial operations, we're importing very little steel or aluminum in the U.S. operations. On the supply side, the majority of our suppliers have told us the steel and aluminum that is going into their products are being purchased in U.S. We don't see an impact from a supplier price increase in that regard. And in the event we do have a supplier that has not surfaced, that is an issue. We're going to have to obviously deal with it on a case-by-case basis on the steel and aluminum side. So overall, we don't expect a direct material impact from the imposition of steel and aluminum tariffs next week, if they do, in fact, happen.
Michael Glen: And for the Industrial business -- I know you don't disclose this, but it would be helpful. Are you able to indicate to us what portion of the Industrial business as a whole or give some information as to what percentage of sales go from -- sell into the U.S. from Canada?
Linda Hasenfratz: I mean we don't normally disclose that level of information. And frankly, it varies from business to business. I mean some of our businesses would sell quite heavily in Canada, and others are selling more into the U.S. So it really depends business by business.
Michael Glen: For the agriculture, is it safe to assume that the agriculture skews more to Canada than Skyjack would?
Linda Hasenfratz: Yes.
Jim Jarrell: Yes.
Michael Glen: Okay. But you're not able to give any granularity as to what that might look like.
Linda Hasenfratz: That's right.
Michael Glen: Okay. Thank you for taking the questions.
Operator: [Operator Instructions] Your next question from Brian Morrison from TD. Your line is open.
Brian Morrison: Thanks very much. Linda, I couldn't agree more with you with respect to your tariff commentary. But I guess in terms of the endgame for the administration for the auto industry, I'm not sure it's a fair question, but you've been in the Oval Office with this man. It seems impractical to implement tariffs without injuring the domestic-end OEMs because of how highly integrated they are. What do you think the endgame is here with respect to tariffs in the auto industry?
Linda Hasenfratz: I mean it's difficult to say, Brian. I mean -- I guess, is there an endgame in the auto industry? Is it about seeing more vehicle production, for instance, in the U.S.? Or is this just part of a strategy, a tactic around other areas that the U.S. administration would like to address when it comes to USMCA? So there's clearly areas they're not happy with that they want addressed. And I think it's up to us to try and surface what those are. They may not even be in the automotive industry, frankly. They could be in completely different areas. So I think we need to understand that and understand, as you correctly say, what's the endgame. And I'm trying to figure out a solution to that because the sooner that we can all get aligned on a trade agreement on the continent that everybody is happy with and feels like is fair to all parties, the better because then we take away this cloud of uncertainty that isn't good for Americans. It isn't good for Canadians and it isn't good for Mexicans. And we can go forward together. I think that President Trump wants fair trade. I mean he said that, and he said that over and over again, right? Like he doesn't want to be treated unfairly. So let's understand what those things are and fix them. And then I think we may have an opportunity to go forward. And again, that may not necessarily be in the automotive industry because I frankly think that, that is a very well and very fairly traded area. I feel like it's probably more in other areas. So let's surface those and fix those.
Brian Morrison: Yes. So in your shareholder letter, you identified that we already have fair trade. So I guess with all this uncertainty that's out there, and maybe it doesn't even have to do with the auto industry, I agree. How do you allocate long-term capital with such great uncertainty, especially outside of the U.S.?
Linda Hasenfratz: Yes. I mean -- I guess we have to look at our global business. The U.S. is only one part of our global business. We have some pretty exciting thriving markets elsewhere as well. And we need to -- again, I just come back to what I talked about in my more formal comments that we need to think about long-term fundamentals of where it makes sense to be manufacturing, where do we have the talent, where do we have the bench strength, where do we have supply chain, where do we have the cost, what are the costs in the different regions and make decisions accordingly. You just -- you can't change something as short term as a tariff -- a tactic like a tariff to dictate how you're going to organize your company in the long term. It's just -- it doesn't make sense.
Jim Jarrell: A good example, Brian, going forward is every program that we get from an OEM, we have to go through a tech review. We have to go through a location review. We have to do that on each new business. And as Linda stated, so if it was a camshaft, a great place to do it would be at Camcor in Canada. They've got the expertise. They're the most efficient, so we would put that forward. And this time frame, you're going to sit with your customer. And we all know the reality of tariffs in and out and the whipsawing that we're going through every day right now. So we would make a decision with our customer, this is what we're doing. This is our proposal at Linamar. This is best suited where this job should be, and we would make that agreement. So eyes wide open right now with our customers on any of these.
Brian Morrison: I have two maybe housekeeping questions, if I can. In your Industrial segment in Q4, you did forecast a decline, but you actually ended up being up about 5% year-over-year. Was there any pull forward in that market due to tariffs outside of your warehousing of six to nine weeks?
Jim Jarrell: I don't think anything on tariffs. There was end of year increases from some of the customers that we received. So it was not tariff-related.
Linda Hasenfratz: But it was definitely better than we thought it was going to be.
Brian Morrison: Okay. And then the last one -- I appreciate your margin expansion commentary with respect to the Mobility segment. You did mention commercial settlements and you have good visibility into that. Of the, say, 130 basis points that you forecast for margin improvement for 2025, what time frame do these settlements cover? And can you quantify, either dollar or even basis points of the 130, what that would make up.
Linda Hasenfratz: Yes. I mean we wouldn't disclose that level of detail, Brian. I mean the improvement on the margin side is absolutely a combination of price increases negotiated with customers, continuous improvement initiatives and price decreases negotiated with suppliers or new suppliers that we put in place, efficiencies that we've driven through operations and continue to do every single day. So we wouldn't typically break that up. I can tell you it's a combination of all of the above as well, as noted, as some of the rightsizing that we did largely in Europe last year.
Jim Jarrell: And time frame, Brian, through the year, right? Like I mean there's not one pinpoint time frame. These are all things that drive up our operational plans through the year.
Brian Morrison: Right. I'm just trying to understand, are they in perpetuity? Or are they -- on a going forward basis, will they be sustainable? Or is it just a 2025 one-off positive?
Jim Jarrell: No, I think when you make a commercial arrangement, it is for the future, right? Like we don't just do a one-off, unless it's like if it's a cancellation or something like that, obviously, you do a one-off cancellation claim on things. But typically, if you get a price increase, it's for the future.
Brian Morrison: Well, I appreciate your Canadian commitment and I wish you good luck.
Linda Hasenfratz: Thanks, Brian.
Operator: Thank you. There are no further questions at this time. I will now hand the call back to Linda for the closing remarks.
Linda Hasenfratz: Great. Thank you so much. I'm going to leave you with some key messages as normal. But I also want to remind you that as requested on the call, you guys are all part of helping us to sell more Skyjacks in Canada. So I want you all to get out there and help us get that done, okay? There's a lot of competitors selling products here in Canada. You guys can help make a difference, all right? You're all on our team, too. So key messages for the quarter. We had another excellent quarter in free cash flow, $800 million. I know I said it a few times, but pretty proud of that. Second, we delivered another year of double-digit growth. That's 10 years out of the last 15 when all three of our markets are down. We had an amazing quarter in new business wins, launch book roughly back up to $3.5 million. Lots of takeover work in the pipeline, which is awesome. And finally, we're keeping going with that NCIB. So getting cash back to shareholders as promised. So thanks very much, everybody. Have a great evening. And go sell some Skyjacks.